Operator: Good morning. My name is Brianna, and I will be your conference operator today. At this time, I would like to welcome everyone to the O-I Third Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. David Johnson, Vice President of Investor Relations, you may begin your conference.
David Johnson - Vice President-Investor Relations: Thank you, Brianna. Welcome, everyone, to O-I's earnings conference call. Our discussion today will be led by Al Stroucken, our Chairman and CEO; Andres Lopez, our Chief Operating Officer and CEO-successor; and John Haudrich, our Acting Chief Financial Officer. Today, we will discuss key business developments and review our financial results for the third quarter of 2015 and highlight our path forward. Following our prepared remarks, we'll host a Q&A session. Presentation materials for this earnings call are available on the company's website at o-i.com. Please review the Safe Harbor comments and disclosure of our use of non-GAAP financial measures included in those materials. Unless otherwise noted, the financial results we are presenting today relate to adjusted earnings, which excludes certain items that management considers not representative of ongoing operations. A reconciliation of GAAP to non-GAAP earnings can be found in our earnings press release and in the appendix to this presentation. Now, I'd like to turn the call over to Al.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Thank you, Dave, and good morning. I'd like to begin our call today by congratulating Andres Lopez on his appointment as CEO beginning January of next year. Andres has long served as an innovative and visionary member of our leadership team, so his assumption of the CEO role is a natural fit. We have been working closely this past year to transition responsibilities. As Andres has been playing a key leadership role already, he will lead today's discussion of regional performance. Besides finalizing the CEO succession process, we completed the acquisition of Vitro's food and beverage glass container business in Mexico, Bolivia and the U.S., much earlier than originally anticipated. I want to compliment the transaction teams on both sides for a smooth transition. We're very pleased with the business performance and have included September results in our reported earnings. Turning to third quarter earnings, our adjusted EPS was $0.57, the operating performance of our legacy business was essentially flat to the prior year in constant currency and in line with our most recent guidance. While we did not receive a significant energy credit we had expected, lower corporate costs made up for this difference. Given the uncertainty surrounding the timing of this credit, we have removed it entirely from this year's projections. We anticipated the acquisition would reduce results by $0.05, given temporary tax expense as we set up the optimal structure in Mexico. And we were pleased with the operating results of the acquired business in September, and also that its headwind on EPS was less than expected. Although EPS was $0.18 lower than the prior year third quarter, the difference on a constant currency basis was only $0.03. And these $0.03 were essentially attributable to temporary tax issues related to the acquisition. Global volumes were up 4% overall. Without the acquired business, global volumes were stable compared to prior year. Segment operating profit in the quarter was lower than prior year third quarter by $9 million in constant currency, and the delta was entirely offset by favorite corporate items. Now let me turn the call over to Andres.
Andres Alberto Lopez - Chief Operating Officer: Thank you, Al and thank you for your kind words. I'm both humbled and honored to be given this great opportunity. I've been working with my leadership team and the board to identify the opportunities, prioritize our efforts, and determine how we can lead change in the company. One of our first priorities and one we are already working on is stability. We need to bring stability back into all of our operations. Stability can bring significant financial benefits as it is the basis for improved performance in the future. So as I walk you through our results today for the third quarter, I will mention a couple of places where we are stabilizing the operations as well as other areas where improving performance is creating value. Let me start with Europe on slide four. Europe's operating performance was in line with our expectations. We were pleased to see an uptick in volumes, primarily related to the improved beer sales. In fact, overall European volumes are slightly up year-to-date. Operating profit was lower primarily due to ongoing price pressure and elevated engineering activity. The price pressure stemmed from two sources. One source is long-term beer contracts negotiated in 2014. Another source is lower wine price in Southern Europe, which were set earlier in the year. Operating profit was lower than our expectations due to a significant non-operational item. A legislative delay prevented us from recognizing an $8 million energy credit in the quarter. We are now waiting for clarification as to when or if it will be granted. We are working to bring more stability in Europe, targeting productivity improvements at selected plants and completing initiatives associated with the asset optimization program. Moving to slide number five and about North America. The modest decline in North America's operating profit hides the very real progress we are making in this region. We have addressed the significant operational challenges we faced in the third quarter of last year. Again, the objective was stability. We had a substantially higher level of engineering activity in this quarter, some devoted to planned furnace reveals, some devoted to projects that will lower end-to-end supply chain cost and provide more flexibility as we serve growing segments. In each case, the temporary impact on downtime and productivity is setting the stage for increased performance in the future. Demand trends in the region remain the same. Sales volume of our legacy business were down 1% in the quarter due to weak demand in megabeer. With the addition of the U.S. portion of the acquisition, a distribution business now called O-I Packaging Solutions, volumes were up 2%. Integrating this business into our North American operations will be a key area focus for us going forward. We are excited by the high level of capabilities and enthusiasm the new distribution team brings. The team is eager to leverage legacy O-I products in the distribution system. And separately, to meet consumer needs that increasingly prefer craft beer, wine, spirits and non-alcoholic beverages will continue to advance the flexibility of our operations. We are confident that we are turning the corner in North America and regaining stability in the business. Turning to slide six, Latin America earnings, adjusted for currency, improved from the prior year. This primarily reflects the contribution from the acquisition. Results were down modestly in our legacy business. This is what we expected. Sales volumes declined 4%. While domestic shipments were up slightly in the Andean countries, shipments for Brazil declined primarily driven by beer. Cost inflation remains high, influenced by currency rates. However, our commercial team was able to secure price gains to largely offset inflation. We are pleased with the results and we have opportunities to add more value. The most obvious opportunity is the integration of the Mexico and Bolivia operations. Another opportunity is to support our customers effort to introduce new product designs and to tap into new markets. In summary, the region is operating well and we expect this to continue. Turning to slide seven, Asia-Pacific has turned the corner. We can see the impact of a strong leadership and execution on our results. Our team in Asia-Pacific has worked hard to right-size the footprint, to improve operating cost, and to earn incremental business. Overall, sales volume was flat for the region. We benefited from a change in the geographic mix with business in Australia up and China down. The weaker Australian dollar helps competitiveness. Australian wine exports are up and so is our business. For us, beer was up due to a new contract, even as mainstream beer in Australia has lost share to craft beer and imports. Our production profile improved substantially in the quarter. Previously, Australia had a significant amount of planned downtime. With its assets now ramped up, we are producing more for local markets. As such, we imported fewer containers from China. By minimizing cross regional shipping, we improved the cost position of the region. In all, the Asia-Pacific team has done a great job of stabilizing the business. They are now focused on incremental performance improvement by working together with customers to meet their needs and collaborating internally across the sales, manufacturing, and supply chain functions to ensure sustainable performance gains. That completes the regional review. So let me turn the call over to John to review performance at the enterprise level.
John Haudrich - Vice President and Acting Chief Financial Officer: Thanks, Andres. Let's turn to slide eight. Third quarter adjusted EPS was $0.57; this compares to $0.75 last year. The strong U.S. dollar is still a significant headwind for the company, amounting to about $0.15. In constant currency, our earnings were $0.60 in the prior-year quarter. Segment operating profit was lower by $0.04, as Andres just covered with the regions. This was completely offset by lower corporate costs. Pension expense declined and management incentive accruals were trimmed. Corporate also benefited from our modest currency hedging program. Net interest expense in constant currency was higher mainly due to the borrowings for the acquisition. We had an effective tax rate of 27% in the quarter. This was higher than average, principally reflecting timing issues associated with the setup of the optimal legal structure for the acquisition, and EPS benefited from our share buybacks earlier this year. Let me shift momentarily to GAAP EPS. In the third quarter, we reported $78 million of pre-tax charges that were not representative of ongoing operations. We recognized several key charges: initial one-time costs related to the Mexico acquisition, restructuring activities at several plants around the world, and bond redemption premiums and fees related to refinancing activities. In all, adjusted EPS was modestly higher than our $0.55 guidance. The legacy business performed as expected, and the ultimate impact of the acquisition was a $0.01 or $0.02 better than we had expected. Let's turn to our fourth quarter outlook on slide nine. We reported adjusted EPS of $0.46 per share in the fourth quarter of last year. Currency will continue to be a strong headwind. Using September 30 rates, prior-year results were more like $0.31, a contraction of nearly one-third. Overall, we see no change in the external business environment. Of course, we face specific opportunities and challenges, so let me drill down now on each region. In Europe, operating profit is projected to be modestly down. Sale volumes should be flat with the prior-year quarter. The ongoing price declines experienced in the second and third quarters of 2015 will continue, but with less year-on-year impact. Our asset optimization program will wind down, and our focus will shift to improving productivity at our lower-performing plants. We expect that better manufacturing results will partially mitigate the price declines in Europe. And while price will continue to be a headwind for the fourth quarter, we are assessing the situation for opportunities to increase price in upcoming annual contract negotiations. Turning to North America. We expect overall industry trends to continue, yet our financial performance should increase substantially against an easy comparable due to a number of factors: modestly higher sales volume, higher production volume, since we don't anticipate curtailing production like we did last year, improved productivity, continued cost improvements in our end-to-end supply chain, and a full quarter contribution from O-I Packaging Solutions. In Latin America, the acquisition will provide significant benefits to segment profit. However, the legacy business will see some continued pressure, especially given macro challenges. For instance in Brazil, we anticipate modestly lower production volume. And price increases may not completely cover persistently high cost inflation linked to the strong U.S. dollar. Overall, Latin America's operating profit should be similar to the prior year, taking into account currency headwinds, the legacy business performance and the benefit from the acquisition. In Asia-Pacific, we expect higher year-on-year profits. Andres already mentioned higher sales volume, and we'll see a similar increase in production volume. While we are now lapping the benefit of the last furnace closure in Australia, the region continues to benefit from a favorable cost position. Corporate expense should be similar to prior year. Please note that pension expense had already begun to decline in the fourth quarter of last year. Interest expense will be higher, of course, as we are carrying incremental debt for the acquisition. Our effective tax rate is higher than usual. We face timing issues associated with a setup of the optimal legal structure for the acquired operations in Mexico. We expect this to normalize by year-end. Blending in Mexico, we see a full-year tax rate of approximately 25% to 27%. Taking into account all the puts and takes, we expect that our adjusted EPS in the fourth quarter will be approximately $0.40. This is substantially higher than prior year in constant currency terms, reflecting better business performance from North America and Asia-Pacific. Our 2000 (sic) [2015] (18:58) free cash flow target is now approximately $200 million. In local currency terms, we are on track to generate about the same free cash flow as last year. Currency changes alone have created a $120 million headwind to free cash flow. Our original cash flow forecast has been dampened by several issues, none of which should impact us beyond year-end 2015. They include upfront acquisition costs, CapEx to finish O-I Mexico's furnace for the new CBI business, higher taxes, and the European energy credit worth $8 million, which we removed from our forecast to remain conservative. Of course, while we generate cash in local currency, our cash flow is reported in U.S. dollars. Since we make most of our cash in the fourth quarter, exchange rates at year-end will have a significant impact on the translation of full-year results. Let me comment on the impacts of the acquisition to earnings. In the fourth quarter, it will be more or less breakeven to earnings. Benefits that manifest in North America and Latin America operating profits will be essentially offset by higher borrowing cost, and most importantly, the temporarily higher tax rate. In 2015, it will be a modest use of cash flow for the reasons I just mentioned. And in 2016, it turns accretive to both earnings and free cash flow. Moving to slide 10. We tap the financial markets to borrow for the Mexico acquisition. We did so at a blended rate of approximately 4.2%, a real achievement given choppy market conditions in the credit markets. Separately, we repaid the remaining $300 million of outstanding 2016's that carried a rate of 7.375%. At quarter end, our total debt has increased to $5.9 billion and our leverage ratio was nearly 4.2 times. Consistent with our previous guidance, we are shifting our capital allocation priority to debt reduction now that the acquisition is completed. As the acquisition closed earlier than anticipated, we will cap our 2015 share repurchase program at $100 million. By concentrating on deleveraging, we anticipate a leverage ratio of approximately three times by the end of 2018. Now, let me turn the call back over to Andres.
Andres Alberto Lopez - Chief Operating Officer: Thanks, John. Turning to slide 11, the acquisition of Vitro's food and beverage business is a key building block of our strategy. We waited a long time to acquire it, and all signs today demonstrate that it will make a significant contribution to O-I financially, commercially, operationally, and culturally. We are pleased with the rapid pace with which the integration is progressing. The business in all three countries performed well and in line with expectations. There has been a great deal of activity. Employees in all of the major functions are working together to align processes and identified opportunities for improvement and strong local leadership teams are working hard to motivate and energize our 5,500 new employees there. We are just one month into the integration, and we are gaining more visibility into the performance of the operations every day. While there is a lot to learn, we are working to validate the assumptions we had established at the time of the acquisition. So our financial expectations remain the same, the acquisition should contribute about $0.30 in earnings per share in 2016. It should contribute about $0.50 per share in 2018, and it should generate at least $100 million in free cash flow by 2018. Note that these expectations are based on average third quarter rates for the Mexican peso. Of course, we are working to drive upsides. Turning to slide 12. I mentioned earlier that we have identified some clear opportunities to create shareholder value. To pursue these opportunities, we need to change, and I know, I absolutely know that we have what it takes to bring about this change at O-I. We have most of the capabilities already and what we don't have, we can develop, build or hire. We need to develop a performance-focused culture, a culture based on collaboration and integrated decision-making. We are already working on many of the necessary changes, beginning with the senior leadership team. We have realigned and strengthened our team. And to emphasize the importance of strategy and integrated approach to business and change in our future, we are creating a new role, the Chief Strategy and Integration Officer, who will be instrumental in executing our strategy. While John Haudrich has done an excellent job as Acting CFO, he is ideal for the strategy and integration role. So he will take it on once we have a new CFO in place. And on that point, we have narrowed our search for an experienced CFO. The external hire will have a solid manufacturing industry background and will bring an outside, a strategic perspective on value creation to the senior leadership team. We look forward to sharing news on this as soon as possible. We have said it already, but I want to reiterate that integrating our new businesses O-I Mexico, O-I Bolivia and O-I Packaging Solutions is an important and critical opportunity. These are enormously important additions to our business, and we need to capture all the value they bring. We look forward to sharing more of our strategy with you at our Investor Day in March. And now, I will ask Brianna to open the lines for your questions.
Operator: Your first question comes from the line of Chris Manuel with Wells Fargo. Your line is open.
Gabe S. Hajde - Wells Fargo Securities LLC: Good morning. This is actually Gabe Hajde sitting in for Chris. Couple of questions. I guess, to start with you, Andres, you talked about restoring some stability to the operations. If you could elaborate on that a little bit more; I mean, I know you talked about having to add some capabilities whether it's personnel or otherwise. But are you more referencing furnace rebuild schedules, production schedule stuff like that? How should we think about it?
Andres Alberto Lopez - Chief Operating Officer: Well, thanks. Stability is a very critical aspect of our future strategy. And we see two areas to be covered by stability. One is the revenue, the other one is the end-to-end supply chain performance. And when we look at revenue, we're thinking about taking a very balanced approach to price and volume, so we avoid volatility, the one that sometimes we see from quarter to quarter when we compare year-on-year. We are also thinking about generating stability in our operations, looking at the end-to-end supply chain. So it includes the entire supply chain and it is about – it is project activity, but it's also our performance in terms of efficiency, asset load, everything that drives the performance of our operations. For us, stability is the basis for performance improvement. When we achieve a stability, we can give our management the time to be able to concentrate on elevating the performance of the company. So as you see, we emphasized that quite significantly along the – our comments this morning. And we're very focused on driving stability in the earliest stages in every one of the operations around the world.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Perhaps in addition here, because Andres may be a little bit too modest. But for the last two years, he has been a significant driver of manufacturing fundamentals in our operations that basically are leading to a significant improvement and predictability and in stability of the operations. It's really knowledge that was resident in the organization, but not always equally applied across the world. And his effort have made a significant change in that respect.
John Haudrich - Vice President and Acting Chief Financial Officer: And then, I would just add on since there was the question about the capital side, there will be capital investments in our asset base. But it's really a reallocation of the CapEx within the business. So it's not meant to be a step-up in that regard. Obviously, we evaluate through our strategy, but we believe that we can do this through reallocation.
Operator: Your next question comes from the line of George Staphos with Bank of America Merrill Lynch. Your line is open.
George L. Staphos - Bank of America Merrill Lynch: Hi, everyone. Good morning. Thanks for all of the details. I guess, my two-part question kind of unrelated part, you mentioned that you're very pleased with the progress that you're making with Vitro in integrating it. What one or two things has gone better than expected, if you could pinpoint it, and how much does the fact that Vitro was a former licensee play into it? The second and related question, I think the last quarter, at least we took away that pricing trends in Europe should be improving. There seemed to some stability at least entering your outlook. It seems from this call perhaps that pressures remain a little bit more persistent. Could you comment, correct, change that view in terms of the outlook on pricing as well for Europe? Thank you.
Andres Alberto Lopez - Chief Operating Officer: Thank you, George. So when we look at Vitro, we are finding that the operations are very well structured. And when we look at potential upsides in operations, we see a significant opportunity there. This company has very strong processes in place – very strong processes and practices, excuse me. And the fact that it is a former licensee of O-I has created a lot of commonality between our technologies and some of our practices. So I think this will make a lot easier for us to drive performance up as we continue to take over the operations. When it comes to pricing, we've been experiencing the same pattern and trends over the entire year in pricing in Europe. And our expectation is that as we go into this quarter and we get into a negotiation season, and even going into Q1, we're going to be able to evaluate better what is the strength of the trend going forward, if we're – this is going to continue into 2016, or is going to moderate a little bit more.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Perhaps, two comments. Certainly, what really went well in the Vitro acquisition is the timing of the effectiveness of the acquisition. As you know, we were looking at a much longer timeframe. So I think that really has been a very positive surprise. With regard to the European pricing, I don't want you to misinterpret what's happening there. What we're saying is in comparison to last year, the price pressure is still maintained, but it is not new pricing action that we're seeing. In fact, if you look at the published reports by quite a few of our competitors, they're all lamenting the inability that they have seen to get prices and to recover what they've seen in internal inflation. And I would hope that what John said with regard to assessing our opportunities for some price adjustments will bear fruit over the next couple of months.
Operator: Your next question comes from the line of Lars Kjellberg with Credit Suisse. Your line is open.
Lars F. Kjellberg - Credit Suisse Securities Europe Ltd. (Sweden): Thank you and good morning. Just a couple of questions. First of all, China. Obviously, you've resized your system in China, and I was expecting to see some moderate growth, at least flat volumes coming through in China now, if you want to comment on that? And also, on the corporate expense line, is there any particular reason for why we should expect a step-up in corporate expense versus what we've had in the prior three quarters in the current year?
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Yes, Lars. I'll have John talk about corporate cost. With regard to China, what we are seeing, we have used our facilities in China also to support our sales in Australia and New Zealand, and so those sales show up in Australia and New Zealand. As they are now able to manufacture their own production again for these customers, we will most probably see a pickup in local China sales as we go forward. This is not indicative of demand trends. But I believe you have all read that also beer in the past three quarters has been suffering a little bit in China as well. That being, of course, a major part of the overall market that has a reflection on overall demand. But I would say, long term, the trends in China still remain fairly positive. But of course we are operating from a much more restricted basis than we've had in the past. We've really focused on very few facilities that serve predominantly multinational or international customers, because that's where we can get a satisfactory price level. John?
John Haudrich - Vice President and Acting Chief Financial Officer: Yeah. To address the corporate retained question. Our normal run rate is about $20 million for corporate expense. We were $21 million in the first quarter, $19 million in the second quarter. We expect it to return to $20 million or thereabouts in the fourth quarter. The third quarter was a bit of an aberration, being closer to $10 million because of some hedges and some one-time adjustments on things such as incentives and things like that. So I think $20 million is the number to think about.
Operator: Okay. Your next question comes from the line Tyler Langton with JPMorgan. Your line is open.
Tyler J. Langton - JPMorgan Securities LLC: Hi. Good morning. Thanks. I think just in North America, you mentioned that you're accelerating some of your engineering activity just to reduce your long-term costs. Can you talk a little bit, I guess, what you've been spending and then sort of just the impact you think that can have?
Andres Alberto Lopez - Chief Operating Officer: Yes. We've been investing in a couple of things. First is we are aligning capacity with the growing segments of the market. And within those segments, primarily, wine and food. But we also spent some money on some projects that will improve productivity that we expect to see results going into Q4 and going into 2016.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: As you saw from the charts that we have, we have a fairly stable supply/demand picture in North America. We expect products or segments other than the beer segment to continue to grow in the coming year. We need to be ready to be able to shift our existing installed base, which was predominantly geared towards beer to be more accommodating towards the other applications. So that is some of the efforts that you have seen. And John can perhaps give some additional perspective on the magnitude.
John Haudrich - Vice President and Acting Chief Financial Officer: Yeah. I think we are talking about investments and costs in the $3 million to $5 million Zip Code in the particular quarter. This is also some M&E, some costs associated with changing out some equipment, things like that.
Operator: Your next question comes from the line of Ghansham Panjabi with Robert W. Baird. Your line is open.
Matthew T. Krueger - Robert W. Baird & Co., Inc. (Broker): Hi. Good morning. This is actually Matt Krueger sitting in for Ghansham. How are you guys doing?
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: All right. And you?
Matthew T. Krueger - Robert W. Baird & Co., Inc. (Broker): Good. Good. I guess, my question revolves around customer M&A and consolidation. Can you guys talk about how customer consolidation and the relocation of customer assets affects how you run your business? And then, can you provide some specific examples of how you guys are adjusting to the more dynamic operating environment moving forward?
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Yes. So I think with regard to consolidation, of course, as you have seen over the years an ongoing story and it's getting to be a more concentrated market on the customer side, but it's also more concentrated supplier base as you have seen. Now, when we look at our positioning, I think we're ideally positioned on a global basis to really deal with those trends, because in most cases, and of course, everybody is aware of the big kahuna that's out there at this point in time. If you look at that particular situation, we are basically represented with both of those companies, and each of the regions in which they are active and have a long-term significant supply relation and some cases with long-term contracts still into effect three years or four years, hence, at this point in time, which I believe puts us in an excellent position to benefit from this changing profile of our customer base. We also see more and more desire on the part of international companies to contract on a global basis, which, of course, also limits the pool of parties that can participate in such bids and in such long-term agreements for an overall global supply, which again, given our footprint, I believe puts us in a very solid and favorable position as we go forward. Now, what we are seeing as well is that many of the large customers are also trying to become more responsive to market trends themselves. And as you know, we have seen now for a couple of years, megabeers really suffering in overall demand trends. And I think even the larger ones are now trying to become much more active in those segments of the markets as well, which again, requires us to be much more flexible, because it means more SKUs, it means greater flexibility in our facilities to serve those changing and varying needs. And I think again with the focus that we have and the focus that we're putting on flexibility in our operations we're very well positioned.
Operator: Your next question comes from the line of Debbie Jones with Deutsche Bank. Your line is open.
Debbie A. Jones - Deutsche Bank Securities, Inc.: Hi. Good morning.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Good morning.
Debbie A. Jones - Deutsche Bank Securities, Inc.: I wanted to focus on Latin America. Could you just, first, just talk a little bit more specifically about the volumes by regions versus your expectations? And then, specifically on the guidance, if I were to take a look at what you did in what was South America last year in the fourth quarter, $72 million, if I take that on a constant currency basis, looking at this year, would you expect that to be up if I excluded the Vitro contribution?
Andres Alberto Lopez - Chief Operating Officer: When we look at volumes in the region, we're seeing the Andean countries performing in a very stable way. They are in line with the prior year in terms of demand. And when we look at Brazil, we're seeing some sub-volumes that they are only in beer. We're seeing the orange juices in Brazil performing well and we are seeing within beer a significant activity in new product development. And we're seeing a significant focus on premium products. In fact, the one-way containers for premium are growing quite well within Brazil.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: And I think with regard to the projection for the fourth quarter, the only uncertainty is, of course, the macro conditions in Brazil at this point in time. I believe that what we have seen in the last two months looks positive from a demand profile. But it's very difficult at this point in time to project that given all the news that we are following, of course, and all the economic issues that Brazil is facing. So we have a little bit of caution in our projections.
John Haudrich - Vice President and Acting Chief Financial Officer: And I would say that we're looking at something that's breakeven to maybe down slightly on the legacy business. It depends on whether the conditions require a little bit of lower production to match the inventory, so that we exit the year in the right position or not. And so those are couple of – that's the key thing in play.
Operator: Your next question comes from the line of Scott Gaffner with Barclays. Your line is open.
Scott Louis Gaffner - Barclays Capital, Inc.: Thanks. Good morning. Andres, congrats on the official announcement, and John, it sounds like a new interesting role for you. So look forward to continue our discussions after the interim CFO role is done.
John Haudrich - Vice President and Acting Chief Financial Officer: Thank you.
Scott Louis Gaffner - Barclays Capital, Inc.: If I just look at the Vitro acquisition, I guess, not to be too nitpicking here, but you were at one point $0.30 to $0.40 accretive in year one. The last update you gave before today was at least $0.30 accretive in year one, and now today it's about $0.30 accretive. And I would have expected with the early close maybe you could have outperformed a little bit on that. Can you talk a little bit about what's going on there? Maybe it's just the Mexican peso, if there's anything as you've gotten in that makes you a little bit more cautious around the near-term accretion. And then, on Europe, the asset optimization being essentially done, what's the year-over-year benefit we should be expecting from asset optimization as we move into 2016? Thanks.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Okay. Let me start out with Mexico and Vitro. Clearly, this is a very attractive acquisition and continues to be a significant contributor to the profitability profile of the company going forward. The variance that you see from the initial announcement that we made in May I believe it was, is really that – at that point in time, the peso was around MXN 14 to the U.S. dollars. Today, the pesos – I think, the average for the last month was MXN 16.5 or something like that. We've seen it go over MXN 17, which, of course, is impacting the conversion. However, what we have seen over the past five years or six years, when there was a gradual inflation or deflation of the value of the peso, we have seen that the Vitro business was able to really make the adjustments on a regular basis and get to fairly comparable and strong U.S. dollar results. I believe we still have that capability as well in the company and the business that we acquired. However, what we have seen is we have seen a very drastic change in currency in a short period of time. And that leads to some uncertainty. We've only been in the business now for four weeks or five weeks. So we still need to do some tire-kicking to understand what the mechanisms are, and that is perhaps reflected in some of the caution that you see. And, John?
John Haudrich - Vice President and Acting Chief Financial Officer: Yeah. Just specifically on that, I mean, the original guidance was $0.30 to $0.40. And as Al mentioned, that was that at a time when we were at MXN 14.5 on the peso. So the recent movements is what has driven us to move it to that $0.30 as Andres mentioned, looking for the upside opportunities. Clearly, if you take a look at the September results and the outlook that we have for the fourth quarter for this business from an underlying performance, that's well aligned with those types of performance levels and as Andres – I mean, as Al said, we're kicking the tires, we're looking to fine-tune things now. We're just starting the annual budgeting process. So we'll look for refinement there. And as it relates to the asset optimization program on that earlier question is, the activities that we've been doing have been very busy, very busy. Also with a high level of engineering projects in Europe with the asset – higher level of asset rebuild that we had this year, that has obviously taken a little bit more time and the complexity has a little bit been higher. So some of the savings that we're looking to achieve this year really are going to start to roll into more next year or so. I think that's in the neighborhood of $20 million of what we expected incrementally in the portion that's going to roll into next year.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Yeah. And if I recall correctly, by the end of the fourth quarter of last year, we were working at a run rate of $60 million or so. So it really is still with some couple of months delay with that $20 million, it really gets to the original forecast that we had provided.
Andres Alberto Lopez - Chief Operating Officer: And as John mentioned, this is a complex phase of the asset optimization, I would say, is the most complex that we needed to implement. So it had some ripple effects in productivity. But we're seeing very good signs of improvement. So our expectation is that we're going to have a positive trend of performance going forward as we conclude the asset optimization.
Operator: Your next question comes from the line of Mark Wilde with BMO Capital Markets. Your line is open.
Mark Wilde - BMO Capital Markets (United States): Good morning.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Hi, Mark.
Andres Alberto Lopez - Chief Operating Officer: Good morning.
Mark Wilde - BMO Capital Markets (United States): I wondered, Andres, if it's possible for you to kind of break apart the different moving pieces within that Brazilian beer weakness, stretching out the flow, which I guess, we've seen in past slowdowns versus kind of market shift versus just underlying demand. And then, I'd also wondered if Al could provide just a few thoughts on lessons from the last nine years?
Andres Alberto Lopez - Chief Operating Officer: When we look at the beer market in Brazil, if we look at returnable containers, they continued to be very relevant in the market, very strong and very stable, too. So, as you know, when the economies go down, these containers become a lot more relevant because those are the ones that facilitate a producer to put the lowest price transaction in the market, but it's also the container that provide the most profits to them. When we look at one-way containers, we're seeing a very strong performance in that category. The activity in the market in Brazil in terms of introducing new premium products, beer products has been very, very high. This is something that the consumer is embracing very well, a bit distance to go primarily to glass containers. It's like 70% of the mix is sold in one-way containers. So we're seeing a good performance within the circumstances of glass. Now in the last couple of months, we're seeing some early signs of better performance overall. This is something that we're going to monitor closely, because as you know uncertainty in this market is very, very high. However, that's what we are observing at this point.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Okay. Mark, the question, of course, that you ask is a loaded question. So let me try to be as concise as I can. First of all, from going public in the 1990s to 2006, the company had zero to negative free cash flow in total. From 2006 to now, the company has generated close to $2.4 billion, $2.5 billion in free cash flow. We have strengthened our position in Latin America, which is the most profitable region for the glass business in the world by the acquisitions of CIV in Northern Brazil, and of course most recently in Vitro. So it really has strengthened the underlying capabilities of this organization tremendously. We've built management capabilities for several – and several of our global leadership members today have come out of the internal program that we developed and that we created. And I believe the new focus of the company on innovation and breakthrough technology is in absolute need for us to remain in this position of strength and position of leadership as we go forward. We weathered one of the deepest and most prolonged global financial and economic roller coaster rides. And it continues to this day with the exchange rate development. As you see, it has a huge impact on top line and bottom line of the company. But I would say overall we have a leadership team today that I wish I would have had five years or six years ago. So that is really the strength of it. The lesson is, China, I made a mistake. I really went too early. It's not necessarily a bridge too far, but it was a bridge too early going into China. And I believe also one of the things I created was I pushed the operations to really find the limits of sweating the assets and getting the best productivity. And we found the boundaries. And that has cost us some interruptions in our operation. And I think, with Andres' background and knowledge in this business, that certainly is something that we have learned very good lessons from and that we're applying today. I hope that answers your question.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research. Your line is open.
Chip A. Dillon - Vertical Research Partners LLC: Yes. Thanks very much and, Al, good luck as you move to your next phase. Wanted to ask about the future capital needs of the business, including restructuring. I know that you've had sort of a – I think in a zip code of $450 million of a combined number in the past, and now that you have the Vitro in the mix, and you sort of have obviously some number in mind as you look to get your leverage down to three times at the end of 2018. What sort of should we expect to see on the CapEx side? And as you answer, where do we stand in terms of the furnace rebuild process? Is that something that is happening at the same rate going forward? Or will it speed up or slow down? Thank you.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Yeah. John can talk to some details. Overall, the mix is really not going to change that significantly from where we have been in the past. Of course, we have to add the Vitro capital requirements, but we talked about that already in the past. I believe one of the things that really is important for us to keep an eye on because what we are seeing in North America, and that includes now the Mexican market for this discussion, is a significant increase in capacity and an intent of building capacity on the part of the brewers, which are really also driving the demand for glass. You know from the CBI discussion that we've had that we're going to build three new furnaces on top of the furnace that was just installed two years ago. We also in Vitro, in the O-I Mexico business, are building a new furnace at this point in time for glass. And our several brewers at this point in time talking about building additional capacity for which they need glass supply and glass capacity. So I think as we go forward, we're going to have to see what is the right approach for us to make sure that we get a profitable hold of those opportunities. And I would say, it's too early at this point in time to really make any projections other than the ones we already have talked about and that are in the pipeline. But with regard to specific numbers and investments and investment profile, perhaps John can add a few comments.
John Haudrich - Vice President and Acting Chief Financial Officer: Yeah, yeah. Historically, we've been talking about the combination of CapEx and restructuring being close to D&A in the full sense. So that's in the $425 million to $450 million range, in that zip code. Vitro is adding $60 million of their amount to that with the acquisition to give you kind of a baseline. So a couple of things that will be moving, all right. So we will not be – we're exiting the asset optimization program in Europe. This is the last year of that. We have also over the years spent some on internal strategic projects. Frankly, what we're looking for is more of the stability, as Andres said. So I would say that some of the investments in those type of spot projects will decline. But we'll see that being replaced with more investments in the base operations of the business. And so those are the moving parts. And I think we'll frame all this out when we get to our Investor Day next March about the specific dollar amounts, but that at least gives you the leverage that we're looking at.
Operator: Okay. Your next question comes from the line of Alex Ovshey with Goldman Sachs. Your line is open.
Alex Ovshey - Goldman Sachs & Co.: Thank you. Good morning, guys.
Andres Alberto Lopez - Chief Operating Officer: Good morning.
Alex Ovshey - Goldman Sachs & Co.: On the acquisition, you gave us in the presentation that it added $61 million to revenue and $14 million to EBIT for one month, I think since it closed on the 1st. So is it reasonable to just annualize those numbers to get a sense for what the annual run rate for revenue and EBIT is before the Monterey furnace comes online?
John Haudrich - Vice President and Acting Chief Financial Officer: I would caution you from extrapolating to with too much precision there, that's just one month. And obviously there is seasonality of this business. So what I would say is we're generally pleased with the performance in the month of September, and we believe that we can build off of that for the reasons you talked about, the CBI activity, the synergies that we have to deliver in the future.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: I would tell you, in general, even looking back over the last nine months, including the activities as they were managed under the former ownership, it's basically tracking in line with what we had as assumptions for the valuation of this business. So I don't see any significant variation.
John Haudrich - Vice President and Acting Chief Financial Officer: And one last thing I would add is that we will be coming out with a 10-Q later today, tonight. And that does provide a little bit more descriptive activity, so that that's a document to reference.
David Johnson - Vice President-Investor Relations: And, Brianna, if I can just interject now, I apologize for those still in the queue, but we have time for just one more question.
Operator: Okay. Your final question comes from the line of Adam Josephson with KeyBanc. Your line is open.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Thanks. Good morning, everyone.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Good morning.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: In terms of the Vitro business, can you talk about your expectations for volume growth there over the next couple of years, and why, specifically I'm asking because many other Latin American countries have obviously been adversely affected by the global slowdown. I'm just wondering if you think there is any reason to expect that in Mexico as well given Mexico's sensitivity to oil prices? Thank you.
Albert P. L. Stroucken - Chairman, President & Chief Executive Officer: Yes. The glass growth in Mexico over the last four years has been between 3% and 5%, depending on the individual year. What we are seeing is with taxes increasing on high sugar content beverages, we have seen quite a significant shift to glass packaging, returnable glass packaging for those customers to still reach the pricing points. I believe what I said earlier with regard to capacity being built in Mexico for export markets in beer is adding significant upside to the volume profile for Mexico, which leads us to believe that the growth rates that we've seen in the past four years or five years are going to continue for quite a while as we go forward. It's not all consumed in Mexico, of course. You have to add that. And we will see some trend changes based on economic conditions. But certainly, as far as underlying trends is concerned, that's quite different from what we've seen in the United States over the past 10 years.
David Johnson - Vice President-Investor Relations: Thank you, everyone. That concludes our earnings conference call. Please note that our fourth quarter and full-year 2015 conference call is currently scheduled for Tuesday, February 9, 2016 at 8:00 AM Eastern Time. We certainly appreciate your interest in O-I and remember to choose glass, it's safe, it's pure and it's sustainable. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.